Leon Devaney: Good morning. Our presentation today covers Central Petroleum's annual results for 2025. I'm Leon Devaney, CEO and Managing Director of Central Petroleum, and I am joined by our CFO, Damian Galvin. Throughout today's presentation, you are welcome to submit questions online, which we will address at the end. Please ensure you read the legal disclaimer that applies to this presentation. Last week, we released our 2025 annual report. Consistent with our quarterly reports, the company has achieved several key milestones that highlight strong operational and financial progress. A major success was the conclusion of a competitive gas marketing effort that resulted in a significant multiyear gas sales agreement that derisks and strengthens the company's future cash flows. Operationally, 2 new production wells were drilled and brought online at Mereenie. These wells were completed ahead of schedule, under budget and delivered production rates well above initial expectations, demonstrating effective project execution and strong asset performance. On the financial front, the company restructured its debt with a revised amortization schedule extending to 2030, eliminating refinancing risk and increasing our financial flexibility. As a result of these achievements, the company has the capacity to undertake a share buyback program, marking its first shareholder return event since listing nearly 20 years ago. I'll now hand over to Damian to go through our annual results in more detail.
Damian Galvin: Thanks, Leon. FY 2025 has certainly proven to be a pivotal year for the company, and the results won't come as a surprise for those who have been following our quarterly results. Our bottom line statutory profit of $7.7 million is, I think, in many ways, more satisfying than the $12.4 million profit we posted last year, that's because last year's profit included $13.8 million profit from selling our interest in the Range [indiscernible] gas permit in Queensland. So when you strip out those one-off profits, you get a much better feel for how the business has turned around. So the underlying profit is $6.5 million this year compared with an underlying loss of $1.4 million the year before. So that's a significant turnaround. And more than 2/3 of that profit was recorded in the second half of this year as our new -- as those new gas sale contracts came into effect. Now the improvement in performance, it's evident across most of the metrics. You start with the revenues, $43.6 million. That's up 17% from last year, largely due to the increase in realized price, which was up 19% to $9.02 per gigajoule equivalent over the full year. And that flows through to the increased sales margins and the underlying EBITDAX, which was up 43% at $19.6 million. So some other items in there. The result also benefits from lower corporate and admin costs and reduced exploration activity this year. Higher interest rates have kept finance costs relatively steady, and we recognized a profit of $1.3 million on the sale of some surplus land near Alice Springs. So an excellent result for [indiscernible] have a closer look at some of the main drivers. The catalyst for the transformation lies with the new gas contracting strategy that we implemented early last year. And the impact from that on revenues was twofold. So firstly, the new contracts resulted in more reliable volumes. In the first half of the year, we had the benefit of those available contracts wholly within the Northern Territory, and they were mitigating the impact from the extended closure of the Northern Gas Pipeline. In the second half of the year, we had new contracts that also provided reliable offtake within the Northern Territory when we couldn't deliver gas to our customers due to pipeline closures. Secondly, those new contracts, which replaced the legacy contracts from 1 January this year, they're at higher prices. And the chart on the right shows the 27% jump in the second half average prices. And that flows through to the bottom line and cash flows. And I'll come back to margins shortly. Now the 17% increase in revenues was also boosted by record demand for gas from the Dingo field and the 2 new Mereenie wells, which were online from quarter 3, providing much needed additional volume. In terms of other revenue, we also recognized $1.3 million from the release of take-or-pay proceeds, and we're able to pass through some of the increased Northern Territory regulatory costs to some customers and we recovered $600,000. Coming back to volumes. The 2 new Mereenie wells were successfully drilled and commissioned. They're ahead of schedule, are under budget, and they've outperformed the pre-drill expectations. So it was a great result, and we're very happy with the outcome from those wells. Oil production at Mereenie was also higher. It was up 14%, and that was largely as a result of the flare gas compressor that we commissioned and installed late in the previous financial year. However, the oil offtake was partially constrained in the fourth quarter and that did have a knock-on effect on gas production, and we've implemented some solutions recently so that volume shouldn't be affected going forward. We do continue to see some seasonal demand fluctuations, particularly when the NGP is closed. And you can see on the chart, the lower volumes experienced in late winter, early spring, both last year, which is on the far left of the chart and also in the current quarter, which is on the far right. The difference this year is that we've protected our cash flows through take-or-pay arrangements in our recent gas supply agreements. So while we're expecting the September quarter gas volumes to be about 8% lower than the June quarter, cash flows will be less affected. The higher prices have flowed through to margins. So if you exclude depreciation, our gross margins increased by 26%. They're up from $3.65 per gigajoule equivalent last year up to $4.60 this year. Our cost of sales, they rose about 6% on a per unit basis. And some of that's due to the higher cost of our return to overlift gas, and the cost is linked to the sales price, so it's naturally higher. The improved margin that we saw was really just from 6 months of improved contract pricing. So we could expect a further improvement for the full year to June next year. And that's also going to benefit further once the overlifted gas is all returned in May next year. Our focus on cost control continues, though, and we do pride ourselves on being a low-cost operator. For example, the chart on the bottom left shows the progress that we've made in reducing our net corporate and administration costs. They are down 39% from last year and 60% lower over the last 2 years. The improved financial performance and cash flows has us in a much stronger financial position than previously. Cash at June 30 was $27.5 million and net cash, that is cash less debt was $3.9 million. That's our highest in over a decade. Our loan facility is in good shape. It's locked in until 2030. We don't have any mandatory principal repayments until March 2027, but we do have the ability to make earlier repayments if we choose to do so. So this stronger balance sheet has enabled us to commence our first program of shareholder returns through an on-market share buyback. We could buy back up to 10% of issued capital over the next 12 months, and this would cost a relatively modest $4 million at current prices or $2 million if we only bought back 5%. Now we've appointed Morgans to manage this process for us, although it should be noted that the total number of shares ultimately bought back over the 12-month period may be significantly less than the 10% cap. And our trading activity will be dependent on considering various factors, including, for example, the prevailing share price, market liquidity, regulatory requirements and trading constraints under the ASX listing rules, maturity of potential commercial transactions that could be material to the share price and other capital allocation opportunities, including growth opportunities and debt repayment. So although we haven't yet been able to start buying on market, consistent with that buyback strategy to reduce issued capital at the current market prices. We've cash settled some of the vested equity incentives, which would otherwise have converted to shares this month, and that's about 8 million shares that we've effectively taken off the market already. Now another achievement that might have gone unnoticed in the annual report was the reserves upgrade, and that arose from the outperformance of those 2 new Mereenie wells and also the continuing ongoing consistent performance of the Dingo field. So the upgrade of proved and probable as 2P gas and oil reserves means we effectively replaced 96% of our FY 2025 production. And so that's an indication of the ongoing reliability and producibility of these Amadeus Basin fields. Look, in summary, it's a satisfying result across the board. It's got us in a strong financial position. So with that, let's let FY 2025 fade away into the rearview mirror, and I'll hand you back to Leon.
Leon Devaney: Thanks, Damian. While we were pleased with last year's performance, our focus remains on maintaining momentum and enhancing shareholder value, including improving the share price. With a cash balance exceeding $25 million and a strong portfolio of firm gas contracts, we are well positioned to pursue both growth and shareholder returns. In addition to the share buyback program, we are evaluating more substantial forms of shareholder returns such as sustainable dividends as part of a broader capital allocation strategy that balances near-term value with long-term growth. Our existing producing assets continue to be a vital avenue for increasing shareholder value with opportunities to rapidly boost production through the drilling of new wells. We have made significant progress in planning and securing approvals for future drilling programs at Palm Valley and Mereenie. These investments are obviously dependent on obtaining long-term gas contracts at acceptable margins, so we will persist in actively marketing these volumes to potential customers. Additionally, we are advancing efforts to restart exploration in our sub-salt permits with the initial activity likely to be an appraisal well at Mount Kitty, a discovery with high helium and hydrogen potential. Concurrently, we are progressing farm-out discussions for conventional exploration in the Western Amadeus Basin, focusing on EP115, which is on trend with our existing producing fields at Mereenie and Palm Valley. Beyond our current portfolio, we remain open to lower-risk, high-impact growth opportunities that align with our core strengths and support reserve expansion and revenue diversification. In conclusion, we are confident in our ability to sustain the momentum generated over the past year well into the future. We have significant opportunities for capital allocation, including further returns to shareholders. And as mentioned earlier, we are diligently working to deliver some of these growth opportunities over the coming months. I want to assure our shareholders that as we pursue growth, we will remain disciplined, ensuring that any transaction adds value and effectively leverages the strong financial foundations we have built. That's the end of the formal presentation, so we can now move on to questions and answers.
Damian Galvin: Thanks, Leon. So we do have a few questions here this morning. So happy just jump straight into them. I guess the one we often come across probably a statement more than a question, shares which pay dividends are viewed favorably by investors, obviously. And I think as Leon mentioned in his list of capital allocations, it's one of the -- one of the option that's been very seriously considered at this time, but it is being considered in conjunction with those other alternative uses for capital. So certainly, we're keen to get to a dividend as soon as we can, and it's certainly under consideration.
Leon Devaney: Yes. Just to add to that, I think Slides 9 and 10 list some of those capital allocation options that we are working through. We'd like to see how those play through over the next couple of months. But certainly, with the cash balance and the cash flows we have, dividends are on the radar and something we understand would be obviously well received by shareholders and certainly could have an opportunity to rerate the stock. So something we're very carefully considering at this point.
Damian Galvin: Okay. Question about our helium prospects, [indiscernible]. When will exploration resume?
Leon Devaney: Great question. We are very focused on getting that kicked off. Obviously, it's been stalled for a long time. There is some complexity with the joint venture and our operator in terms of getting that program going. We think we have a strategy and a plan in place to kick start that and get it going again in the near term. If we're successful in that, the target timing would be a Mount Kitty well by mid-2027. That's what we'd be shooting for. Again, there's quite a bit of work we need to do to put that in place and make that happen. But that is a focus, and we have been working very hard in the background to get that going and get a well drilled there. We think it's an exciting prospect, a significant upside for the company. So we're quite keen to get going on that permit and Mount Kitty in particular.
Damian Galvin: Okay. Could you clarify what the expected boost in cash flow might be once gas overlift is all returned? So gas overlift, that should all be returned by May next year. So we're getting close now. I think we're returning at about 2 terajoules a day. So if you calculate her out and $9 or $10 gas price, I think we're up around in excess of $6 million a year in extra revenue. So we're certainly looking forward to that boost coming in June next year. In terms of other questions, what else we've got? Can you please give us some indication on timing of drilling new Palm Valley wells?
Leon Devaney: We're -- as I mentioned, we're obviously progressing planning and approval. So we're doing a lot of the long lead stuff in terms of getting prepped and ready for a drill-ready positioning for that field. We see a lot of value in being able to quickly bring new production from Palm Valley into the market as a 50% interest holder in Palm Valley and with the production we've seen in the prior wells that we've drilled there, it is a very compelling case for us to invest and increase production and sell that gas. So one of the top priorities we do have is getting that drilling approved, prepared, and fit for it. Now the critical piece of that puzzle, obviously, is ensuring that we do have a market for it. The market, as I've mentioned consistently over the past couple of years has been in a state of change. That change is still continuing, both with production from the Blacktip field, but also appraisal activity at the Beetaloo. Notwithstanding that, we are in active discussions with potential customers, and we are trying very hard to put in place a gas supply agreement for the additional volumes from Palm Valley at acceptable margins that we think are in the best interest of shareholders. And once we're in a position to have that contract in place and underwrite those volumes, we'll be looking to drill those wells very quickly. That's certainly our intent at Central. Obviously, it needs shareholder or joint venture approval with our joint venture partners at Palm Valley.
Damian Galvin: Okay. There was a question here. What is the situation with joint ventures? I'm not sure whether [indiscernible] production joint ventures or exploration ones. But is there any sort of clarity around -- I think we're all similarly minded at the moment.
Leon Devaney: Yes. I think we've got great alignment with the joint ventures that we are working with on -- across our fields. They're like-minded with us. They're looking to extract value from the operating assets or looking for ways to grow and increase production and sell that into a market that we see as desperately needing firm gas supply. So we've got great alignment. They're contributing significantly to our efforts in the fields. So we couldn't be happier. We're quite pleased with the joint venture arrangements we do have. Obviously, in the sub-salt space, the joint venture has been more challenging in terms of progressing appraisal activity. That's something that we've been working very hard on. We do have a good working relationship with Santos, who is operator, and we think we're making progress on that front, as I've mentioned earlier. So hopefully, we'll have some good news coming in relation to that joint venture over the coming months as well.
Damian Galvin: Okay. Could you elaborate on why Dingo production performed so strongly? Is there a possibility that further wells and contracting gas could be on the cards?
Leon Devaney: Yes, it's really a market issue for Dingo. It's selling directly into a power station. That power station obviously has a gas requirement that is subject to the energy demands in the Alice Springs area. That demand has increased and their requirements for gas has increased. There are alternative supplies they do have. And so depending on how they adjust their portfolio, that will drive the demand that they require from the Dingo field. Having said that, we do have a very strong take-or-pay position at Dingo and you would see take-or-pay payments being made at the beginning of each calendar year that reflect any volumes that they haven't taken under contracts. So from our perspective, the cash flows from Dingo are very steady and reliable. And we're looking forward to continuing to meet the contract. And if there are opportunities to grow that field or expand that field and add more volume into that Alice Springs market, we're certainly open to it. And there have been conversations in that front with the NT government and PWC, and we'll certainly be exploring that going forward to see if there's opportunities out that are a win-win for both parties.
Damian Galvin: Okay. Can you run us through longer-term contracts market that is 2028 onwards? Any changes there?
Leon Devaney: No, as I've mentioned quite a few times in previous webinars, the longer-term gas market is probably where there's considerable uncertainty, particularly, as I mentioned, with respect to longer-term production from Blacktip, which has historically been a baseload gas supplier for the NT. That's a decline or appears to be in decline. And we've also got the Beetaloo, which is undertaking appraisal. We don't know what the results of those appraisal tests really are at this point. I think a lot more information is going to be coming out over the next 6 months. It is an uncertain market when you start moving out to 2028. Our focus has been ensuring that certainly in 2026, 2027, we've got ourselves in a very strong contracted position. We do have contracts extending out through to 2030, which does help. But we do have additional volumes that we are trying to contract from 2028 and beyond. Those are the Arafura contract volumes that we backed out of earlier this year. There is interest. It is a bit early. It's a couple of years away. So it is a bit early in terms of contracting those volumes with counterparties. We are also talking to projects in the NT that might require that gas or certainly are interested in that gas, including Arafura as a potential customer going forward. So it is a very active part of our marketing effort and strategy, but it is something that will obviously take time. We'll lock those in when we think the time is appropriate. And we think contracting gas at that point in time is in the best interest of shareholders.
Damian Galvin: Okay. Thanks, Leon. Probably also, there was a question here around how the Beetaloo Basin was looking and progressing. So I think you probably covered that off.
Leon Devaney: Yes, I didn't spend a lot of time on this particular webinar going into the market. There's not a lot to update. We did a webinar last month, I think it was. There hasn't been a whole lot of information in terms of flow rates coming out of either of the appraisal programs happening at the Beetaloo. And the Blacktip production, similar to what we experienced last month in terms of turndown from nominations due to reduced demand in the NT. It's very hard to understand Blacktip's production at a field level, given some of that could be a result of a turndown as well. So really, at this point, there's not a lot of additional information to be able to get more visibility. I think we'll need to continue to watch this space. And as I said, over the next 6 months, I think or so, getting some more information, and we'll see how it all plays out. .
Damian Galvin: Okay. Question here around hydrogen. Are the JVs looking at directing any hydrogen finds into ammonia production?
Leon Devaney: Well, obviously, we've got to find hydrogen and be able to demonstrate we can produce it at commercial rates. And I think that is the focus. That's certainly the focus of our sub-salt exploration activity, hydrogen and helium. Obviously, we have hydrocarbons, and we're very familiar with being able to commercialize that. We think that's going to form an important part of the business case for those prospects. But our first step is to get these appraisal wells in, particularly Mount Kitty, demonstrate we can have a commercial flow rate. And once we understand what that looks like and understand with more granularity the gas composition, we can then start to formulate a business strategy around how we commercialize and develop prospects. So it's certainly an area that we see as a potential revenue stream for the company going forward. But we have a period of time before we're actually in a position to say how or with any certainty what that will look like or how it will be developed.
Damian Galvin: So I think there was a couple there just around share price and where we're at. I think one of them was why is Context Morningstar valuing the company at $0.06? I guess the short answer to that is I probably just run some AI bot on it that's taken the current share price. I would point you towards the analysis on our website from MST Access. They've got a full research paper there. I think they land at $0.20, which brings us to another question. I can't understand why the CTP share price has not progressed well north of $0.20 per share in the last 5 years or so. I realize all CSG producers are in a similar position, but I would have thought with your gas sale contracts and producing field it would be a little different.
Leon Devaney: Yes. I'd go back to really what has been the theme, I think, of this presentation. We've had a great 2025. Our plan and our focus is to -- certainly one of the key objectives that we're quite focused on is to get the share price up. The ways we're going to do it, we've talked about in this presentation, that's to continue the momentum we've had in 2025, continue to deliver safe, strong performance at our operating fields, generate the kind of financial outcomes that we've seen in 2025 and hopefully improve on those, continue to strengthen our balance sheet, and obviously, with the GBA coming off in a few months, that will provide a fairly significant kick start to that as well. And then look at capital allocation options, including shareholder returns. There's opportunities there for us to demonstrate and actually in a concrete way, return more significantly capital to shareholders through sustainable dividends, for example, that could be a good catalyst for the share price. But we have a number of growth opportunities as well that we're looking at. We're very active in discussions with a broad range of things that we think are material and could be quite beneficial for the company and could have an impact on the share price going forward if we're able to complete those and get those across the line. So really, we're working quite hard on a basket of things and our focus is on creating shareholder value. But specifically, as part of that, we think that, that is the opportunity and a pathway to get that share price elevated and increasing to reflect the value of the company.
Damian Galvin: Yes. I think probably we all share the frustration of shareholders around the share price and it probably reflected in our decision to allocate some capital towards share buyback at these prices is a good use of capital. So something we're working on across the board. Okay. A couple of other more questions here. What about the company Omega Oil and Gas in Surat Basin? Any comment on this development?
Leon Devaney: Obviously, they've had some fantastic success and I understand they've done a fairly significant capital raise. I think what it does show is that despite the challenges in our sector, there's great opportunity for significant growth, significant value enhancement in smaller companies where you're able to successfully find resources and demonstrate that you can potentially commercialize that. And if it's of a substantial size, then clearly, that has a major impact on the valuation of companies. So I think success will be rewarded in this market. And that's one of the key things that we're looking to do at Central, whether it's through creating some visible tangible benefits to shareholders through shareholder returns to demonstrate the success we've been having with the operating assets that we do have in place, improving on those operating assets or in the growth opportunities that we have in front of us, picking and finding the right ones, being smart about it, being smart about how we structure it, how we approach it, finding success and essentially following a similar path where I think Central certainly has the opportunity to go and have a substantial increase in share price if we're successful.
Damian Galvin: Question here. Could we see the FY '26 result being boosted by that gas overlift coming off that is like FY '25 being skewed towards a much better second half from the new gas contracts. I think the answer to that is probably won't see a big boost in FY '26 because that gas balancing agreement we expect all that gas to be returned by about May. So it's really only probably 1 month of upside that I'd expect to see on cash flow. So probably not for FY '26.
Leon Devaney: Not substantially. But certainly, as we look forward to future financial results, that share buyback is a significant liability that will come off. As Dami mentioned, it's in the order of $6 million to $7 million at current portfolio pricing. That's in the order of a $0.01 per share type of thing. So it's a substantial number for the company. It's something that we have been paying off diligently over the past years, and we're looking forward to that being lifted, and it will have a big impact as we move forward into fiscal year 2027.
Damian Galvin: Okay. In light of the Omega Gas comments, would Central bid on new Queensland acreage if it made strategic sense?
Leon Devaney: Yes, we are open to opportunities that we think are lower risk, high impact. We're not restricted to opportunities just in the NT. Obviously, that's where we have a core skill set and our existing footprint. But we are casting a wider net and looking at opportunities up and down the East Coast and are in discussions for those. Obviously, there's a lot of opportunity in the market, particularly where you have transitions, whether it's gas market transitions or other events. We've been very disciplined in terms of filtering through those. There's no shortage of opportunities to throw money at, and we're in a great position with our cash balance and cash flow to have that kind of money. So obviously, we're of interest to parties that are trying to farm out or divest. But we do have a very, I think, clear understanding of what we think will add value to the company, what fits this company and where we can create value and what is in the best interest of shareholders. So we are very selective in what we look at and what we engage in, in terms of further investigation. But there are opportunities out there, and it could be in Queensland, it could be South Australia, it could be anywhere on the East Coast, and it could be further afield than that potentially. But our bread and butter, obviously, is, at this point, onshore and the East Coast is a familiar market to us. But having said that, we are open to good opportunities at the right price with the right risk profile, and it's something that we're working very hard to screen and see if we can uncover opportunities that are in the best interest of shareholders. We've had a good track record on that as well. If you look at what we've done with the Range project, we didn't put any capital into it. We had a $12 million profit from that. So that turned out actually quite positive for the company. It didn't go as quickly. We were hoping to get into development, but that was a positive investment for us. The Peak deal, obviously, that fell over. That was unfortunate, but it was really a lost opportunity as opposed to a loss for us. So we've certainly got to make sure going forward that the deals that we do enter into we cover off and really make sure that the credit risk and the ability of the counterparties is there to perform as we expect when we go into a joint venture or a farm-in opportunity.
Damian Galvin: All right, I think that's all the questions for today.
Leon Devaney: Great. Sounds good. Well, I appreciate everyone's attention and look forward to updating all of you as we go forward through the end of this year. I think it's going to be a very exciting next few months. And we're very confident that some good things will be happening and look forward to sharing that with you as we go forward.
Damian Galvin: Thank you very much.